Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Expedia Inc. fourth quarter 2007 conference call. (Operator Instructions) I would now like to turn the conference over to Mr. Stu Haas, Senior Vice President Investor Relations and Treasurer. Please go ahead, sir.
Stu Haas: Good morning and welcome Expedia Inc.’s financial results conference call for the fourth quarter and year ended December 31, 2007. I am pleased to be joined on the call today by Barry Diller, Expedia's Chairman and Senior Executive; Dara Khosrowshahi, our CEO and President; and Michael Adler, our CFO. The following discussion, including responses to your questions, reflects management’s views as of today, February 7, 2008 only. As always, some of the statements made on today’s call are forward-looking, including our comments on financial expectations and performance, operational results, margins, planned investments in spending, platform improvements, and growth of business lines. Actual results may differ materially. We do not undertake any obligation to update or revise this information. Please refer to today’s press release and the company’s filings with the SEC, including our Form 10-K for the year ended December 31, 2006 and subsequent 10-Q filings for additional information about factors that could potentially affect our financial and operational results. During this call, we will discuss certain non-GAAP financial measures, including OIBDA, operating expenses excluding stock-based compensation, free cash flow, adjusted net income, and adjusted EPS. In our press release, which is posted on the company’s IR website at expediainc.com/ir, you will find additional disclosures regarding these non-GAAP measures, including reconciliations of these measures with the most comparable GAAP measures. Finally, unless otherwise stated, all references to gross margin, selling and marketing expense, general and administrative expense, and technology and content expense excludes stock-based compensation and all comparisons in this call will be against our results for the comparable period of 2006. And with that, let me turn the call over to Dara.
Dara Khosrowshahi: Thanks, Stu and thank you to everyone for making the time to join the call. I do apologize in advance for my voice. I’ve been knocked over by a flu so please bear with me as I try to make it through here. Expedia made solid progress again in Q4, with accelerating growth in transactions, bookings, and revenue. We finished 2007 just shy of $20 billion in global bookings, with a record $669 million of OIBDA, growth of 12% versus 2006, and in line with our low double-digit expectation. Expedia continued to diversify its business mix during the year, with international businesses delivering a record 36% of revenue in Q4. And our advertising and media businesses really came of age in 2007, accounting for 7% of full year revenue compared with just 4% a year ago. Most importantly for long-term shareholders, we continued to make progress towards our goal of maximizing cash flow over the long-term while efficiently managing dilution. Expedia's free cash flow for 2007 grew 19% to $625 million and our share count was down 11% year over year, reflecting $55 million in share repurchases and measured equity grants. Now I want to jump right into the question that’s likely top of mind for many of you, which is how the economy is impacting Expedia here early in 2008. As you might expect, based on what other companies in the travel space are saying, it’s a bit of a mixed bag right now. From an overall industry perspective, air travel continues to be fairly robust with carriers reporting solid traffic and forward bookings. Fare increases have had variable success but there’s a clear bias from carriers to sacrifice loads for yield and to cut capacity even further should the consumer weakness warrant. While sustained demand is obviously quite favorable for Expedia, higher fares are not. And if any of the rumored consolidation activity in the space comes to fruition, that would likely push fares even higher. On the hotel side, according to industry experts, U.S. occupancies have generally been down year-on-year so far here early in 2008, and while overall industry ADR growth has been similar to full year ’07, Expedia's ADR growth has been a few hundred basis points lower in North America and in Europe versus what we saw in Q4. Based on the visibility we have for future periods, we see this trend continuing. On the plus side, with lower occupancies we do see hotel inventory freeing up, leading to some great deals on our sites. Putting it all together, January began slowly for Expedia but picked up as the month went on, helped in part by continued progress in our advertising and media businesses, as well as earlier and more aggressive marketing this Q1 than in ’07, which drove anticipated unit volumes. The big question is how trends will progress as we move into the heart of the year when top line comps get tougher. While the external landscape is cloudy at best, what I’ve made very clear internally is that Expedia must deliver growth and value for our travelers, suppliers, advertisers, and shareholders, regardless of the economic climate. Turning to Q4 and our brand portfolio, Expedia.com executed well in the quarter, with continued strength in our telesales channel, contribution from the thank you rewards program, and success on the marketing front with our holiday sale, our Pirates of the Caribbean promotion, and our first official season as official travel sponsor of the NFL. We are also pleased with the initial response to the Expedia Elite program, whose hundreds of thousands of high value members benefit from dedicated customer service and no change/cancel fees, among other perks. Our European point of sale drove 35% FX neutral bookings growth, despite a pretty tough comp last Q4, which was our strongest growth quarter in ’06. Our fee and pricing activity combined with proactive marketing spend were certainly significant factors behind Europe’s growth. Given the positive results thus far, and the substantial long-term growth opportunity, we intend to continue to aggressively invest in our marketing efforts in Europe in 2008 and beyond. Hotwire had another great quarter with year-on-year bookings nearly doubling. For a second straight year, Hotwire secured J.D. Powers number one ranking for highest customer satisfaction for independent travel websites. While Hotwire has meaningfully diversified its business beyond air, it continues to make advances in that product, including the recent addition of Air Tram Content. On the downside, Hotwire’s marketing partnership with Travel Ports Brands will not continue in 2008, which will present a headwind for the business. That said, we’ve already seen signs here in early ’08 that Hotwire’s value proposition to suppliers and travelers continues to resonate, demonstrating once again the benefit of our diversified brand portfolio. Hotels.com grew worldwide bookings 27% in Q4, its third straight quarter of accelerating growth. HCOM finished the year with over 2.6 billion in worldwide bookings, making it one of the world’s top five online travel brands. Hotels.com’s growth in North America was similar to our 18% overall growth rate for that segment and in Europe, Hotels.com grew its bookings nearly 80% on the strength of our product offering, pricing activity, and marketing efforts. ECT finished the year on an up note with Q4 bookings growth of 28%. Full year ’07 bookings exceeded $1.3 billion from over 3,500 active client accounts. ECT has generally not seen corporate clients cut back on their spend but we have seen higher airfares from Q4 continue into early Q1. This could lead to lower future bookings as companies strive to remain within annual budgets but we have as yet seen no consistent evidence of that. Our APAC business reached a milestone in 2007 with more than $500 million in annual gross bookings. We’re looking forward to the launch of our India point of sale this year and also improving our existing websites in China, Australia, New Zealand, and Japan. Given the opportunity, we may consider heavier incremental investment in the APAC region than we have historically. Our advertising and media businesses continue to flourish, posting Q4 organic revenue growth in excess of 50% and contributing more than $180 million in high margin revenue for the full year. Trip Advisor continues to lead the way for us in ad and media. Its “Cities I’ve Visited” app on Facebook has been downloaded more than 5 million times and TA's CPM business is significantly larger in ’07 than it was in ’06, complementing its core CPC offerings. Advertising on our transactional sites grew 35% in Q4 and we continued to believe that there’s additional opportunity there. Our [D Column] display media continues to expand and we are testing and learning with our travel ads products. We’ve also hired an initial core of account executives to begin educating non-travel advertisers on Expedia's value. I think we have a ton of work to do to get transactional advertising right but there is no doubt that the potential is there for a more significant contribution. In closing on the brand portfolio, while we are certainly proud of nearly $20 million in 2007 bookings, we are also pleased with the number of brands meaningfully adding to our scaled. We finished the year with six of our businesses above or very near the $1 billion in annual bookings. Expedia sites in the U.S., U.K., and Canada, as well as Hotels.com, ECT, and Hotwire, and we believe the cupboard is full of future billionaires, with Expedia Germany, Hotels.com Europe, and our APAC businesses all eclipsing the $0.5 billion bookings mark in ’07 with a collective growth rate of over 50%. On the supply front, PSG continued to make progress with hoteliers in Q4, inking multi-year agreements with Starwood, IHG, and Kimpton. We finished 2007 with every major hotel chain under contract and nearly 80,000 bookable properties on our worldwide sites, including over 35,000 properties in Europe and APAC. While we made some progress in expanding European hotel selection in ’07, we’re not satisfied with our progress on this front. It will be a critical area of focus and investment in ’08, particularly in smaller towns and cities in continental Europe. On the air front, we progressed from stabilizing unit economics to working constructively with our partners to expand volumes. One great example is our recent partnership with Hawaiian Air. It began in Q4 with our driving share for Hawaiian in exchange for some compelling package discounts and has expanded here in early ’08 with our NFL pro bowl promotion, featuring four first co-branded television campaign offering travelers exclusive rates to Honolulu for the big game. We hope to broaden these types of win-wins to our other valuable air partners. A few comments real briefly on the technology front -- we are continuing to work on our re-platforming and as I mentioned last call, we’re not moving as quickly as I would prefer. We’ve experienced delays in the rollout of the new platform and the upshot is we’ll be delayed in realizing the benefits of our investments until late 2008 and likely into 2009. There are plenty of things we can do to improve our traveler experiences beyond the platform, which is what we are focused on. But I would say that we won’t see material improvements in the very near-term. In closing, we’re pleased with the 2007 that put Expedia back on a growth track. There is clearly significant uncertainty around the economy and the consumer as we wade into 2008 and we will certainly be mindful of those trends and make adjustments as required. That said, I do think it’s important for investors to understand that we are managing Expedia for more than the next quarter or the next year. Simply put, we think online travel has substantial, global runway and we intend to continue investing to improve our traveler experiences worldwide and in turn, drive sustained growth in long-term shareholder value. With that, I will turn the call over to Mike.
Michael B. Adler: Great. Thanks, Dara. Good morning, everyone. I am going to cover our Q4 results and close with our initial financial expectations for 2008. Worldwide gross bookings grew 25% in Q4, driven by 18% growth in North American bookings and 47% growth in Europe, including nearly 80% growth at hotels.com Europe. Hotels.com is benefiting from its geographic expansion in Europe with points of sale in 25 countries now compared with 20 a year ago, as well as over 20% more merchant hotel properties. Higher volumes bolster bookings growth in Q4, with unit growth of 14% in air tickets and 18% in hotel room nights. As for pricing, we saw ADR growth of 6%, similar to what we’ve seen in the past few quarters. We did see lower ADR growth in December spill over to January. On the air pricing front, fares grew sharply at 9%, including 8% growth in North America as carriers largely succeeded in passing along fuel price hikes through direct fare increases and fuel surcharges. Revenue growth accelerated to 25%, led by 23% growth in merchant hotel revenue and 90% growth in advertising and media. Revenue growth was also supported by a 13% increase in air revenue, our second straight quarter of growth. While this increase was primarily fueled by another quarter of strong ticket growth, we’re also pleased to report that revenue per air ticket decreased just 2% in Q4 due to our consumer fee reductions. This lower rate of decline in Q4 is consistent with our expectation of stabilized economics upon comping GDS and North America carrier negotiations. Revenue margin was up six basis points for Q4. For the full year, we finished up 30 basis points, reversing two years of declining rev margins on the strength of our advertising business and stabilization in our air and hotel products. Gross margin also expanded over 100 basis points in ’07, benefiting from an increased mix of ad revenue and cost efficiencies. Turning to operating expenses, total OpEx grew 34% in Q4, driving over 250 basis points of OIBDA margin deleverage, despite our revenue growth as we continue to invest in our various businesses. As we indicated would be the case on last quarter’s call, selling and marketing expense growth accelerated in Q4 to 38%. The increase was driven by incremental spend across our brand portfolio with meaningful increases in direct marketing spend in both North America and Europe to leverage growth opportunities within those markets. In addition, we increased indirect selling costs to strengthen teams in PSG, the Trip Advisor network, local expert, and ECT. Looking ahead to selling and marketing in ’08, while we’ll avoid pushing on the string if travel significantly weakens, we believe great companies take share in choppy markets and we also believe our business model and financial flexibility afford us the opportunity to continue investing in growth markets across the globe, in both our transaction and media businesses. As such, we expect selling and marketing to increase as a percentage of revenue in ’08 but less so than it did in ’07. Technology and content grew 55% in Q4 due to increased internal headcount, the ramp-up of offshore technology initiatives, and higher amortization. G&A was one area where we did see positive operating leverage with growth of 13% year-on-year due to increased payroll taxes on option exercises, increased headcount in Europe and IT, and increased legal costs. 2007 CapEx came in at $87 million. CapEx for the year would have been $100 million but there was a shift of $13 million from ’07 to ’08 due to timing of cash payments. Absent this timing impact, we would have roughly doubled CapEx in Q407 versus Q307 as we communicated on last quarter’s call. We anticipate ’08 CapEx, including the $13 million shifted from Q407 will come in at $140 million to $150 million, with approximately $40 million to $50 million of that amount related to leasehold improvements we plan to make at new offices, including the relocation of our corporate headquarters to support our worldwide growth. Additional CapEx priorities in ’08 include investments in our call centers, global [XEO] capabilities, re-platforming, data warehouse, and our hotel extranet, among other technology initiatives. I’ll close with our initial expectations for ’08. We are certainly going to remain very mindful of the global economic climate and maintain flexibility to intelligently respond in ways that may temper growth. But based on what we know today, and assuming no meaningful worsening on the AVR environment, we expect full year OIBDA to grow in the low double-digits again in 2008. Free cash flow will likely increase again in ’08 but the pace of year-on-year growth will likely be slower as we’ll see the year-on-year CapEx increase I mentioned earlier partially offset some of our anticipated OIBDA growth. While we don’t provide quarterly expectations, I do want to flag for investors that the Easter holiday occurs in Q1 in 2008. Easter will pull some stay revenues into Q1 that occurred in Q2 in ’07. We also began offline brand marketing activities earlier this year versus last, meaning you’ll see much higher selling and marketing spend growth in Q108 versus Q107. Looking ahead to Q2, we’ll have double rent on our new headquarters beginning in May and we’ll have comped most of our ’07 media acquisitions, so we anticipate substantially higher OIBDA growth in Q1 versus Q2. I would also remind you that our top line comps become more difficult in the back half of ’08. Lastly, it’s worth mentioning that our international businesses are unlikely to benefit from year-on-year FX rates as much in ’08 as they did in ’07. For example, the Pound is currently trading near its ’07 average. So as a reminder, our OIBDA expectations today assume FX rates remain where they’ve been recently. I want to thank everyone for your time today and I’ll now turn the call over to Barry.
Barry Diller: Thank you and good morning, everyone. Over the last year, Expedia has strengthened itself in nearly every market and every area of its operations. Whatever happens with the broader economy, the truth is that life is going to go on. People will work, people will spend, and people will travel and when they do, history shows that Expedia and its great assortment of leading brands will be on their radar. Now that’s not to say that we won’t see adjustments in travelers’ behavior -- substitutions, folks trading down in hotel star ratings, choosing drive travel instead of air, long weekend escapes versus 10-day vacations, and on and on. But travel they will and Expedia, Hotels, Hotwire and all the rest of our brands will be there to help no matter what the budget or what the desire. As Dara and Michael have indicated in a lot of detail, we are certainly going to be mindful of the economic trade winds, blow as they may, and we’ll course correct as warranted. But by and large, the destination for Expedia remains unaltered by quarter to quarter economic gyrations and talking head prognostications. Expedia is committed to being the travel brand of choice for our advertisers, our suppliers, and increasingly our advertisers. Before questions, I do want to address the recent difficulties surrounding IAC and Liberty. It is, of course, an unfortunate situation. Once we became aware of a dispute, we petitioned the court to tell us that the course that we were recommending was consistent with the agreements between Liberty and myself. Given no harm could have come to Liberty prior to the courts deciding, I wish they hadn’t raised up this issue in such an aggressive way, but they have and we’ve responded appropriately. I do think we’ll prevail but the critical point for listeners on this call is the fact that these developments have absolutely no bearing on Expedia and its future. The proxy which exists between Liberty and myself related to Expedia is completely separate from the one related to IAC -- one has nothing to do with the other. And I’ll just say once again that Expedia is not a party to the IAC/Liberty discussions and it is not going to be impacted by them. So Mr. Haas, do you want to get to questions?
Stu Haas: Great. Thanks, Barry. Let’s move on to the Q&A portion of the call with Barry, Dara, and Mike. As a reminder, please limit yourself to one or two questions so we can fit more questioners into our call today. Operator, would you please remind our listeners how to ask a question?
Operator: (Operator Instructions) Our first question comes from Imran Khan from J.P. Morgan.
Analyst for Imran Khan - J.P. Morgan: This is Brigitte calling in for Imran. We have two questions for you. First of all, both Google and Yahoo! noted weakness in the travel vertical for advertising. We were wondering if you saw any of that. And secondly, what do you think the effect of a potential Yahoo!/Microsoft merger would be? Thank you.
Dara Khosrowshahi: Sure. Thank you, Brigitte. We did not see any specific weakness as far as our spend, for example, went. We’ve been spending fairly aggressively in the search category. I would say that search engine marketing spend as a percentage of our total spend in ’07 increased versus ’06 and increased pretty consistently. There were some ups and downs as far as our different brands. Probably we were a little bit less aggressive on Expedia.com, for example, in December in search than our other brands but I’d say overall, our SEM spend has been increasing. And I think as far as what we are seeing in January and what we expect in ’08, we expect to be fairly aggressive on the search channels. One of the positive factors that we’re seeing as far as search goes is that our conversion has been improving in various parts of the business. Hotels.com conversion has improved, from example. Hotwire conversion has improved pretty significantly, which then allows us to actually pay more for search terms than we were last year. So we are able to in certain circumstances buy certain key words profitably that we weren’t able to buy before. It creates -- it reduces efficiency as far as marketing spend as a percentage of revenue but it increases profitability and that’s something that we have been working on, to the extent we are increasing our conversion, we are spending a bit more aggressively on search and hopefully that’s something that we can drive in ’08. As we’ve said before, we’re focused on maximizing absolutes, kind of OIBDA and free cash flow dollars. We’re not as focused on the margins, so to speak, of the company on a long-term basis. As far as the potential impact of the Microsoft/Yahoo! merger, you know, it remains to be seen. I do think that probably having a number two player that is significantly stronger is a better environment and we’ll be watching carefully as to what happens. I think one issue that we’ll be watching very closely is that obviously we are a very close travel partner of Microsoft’s. Yahoo! is a partner of -- Yahoo! partners with Travelocity and also owns a meta-search site called Fare Chase, so whether they go with call it Travelocity/Fare Chase or they go with us could have an affect on us, although I will say that Microsoft is becoming a smaller portion of our overall revenue as the years have gone by. Barry, do you want to add anything on Microsoft/Yahoo!?
Barry Diller: No, I think that -- I think for the Internet world and for certainly people who are in the area of search related things, that a stronger competitor to Google is a good long-term thing. I think short-term those that compete with Microsoft and Yahoo! will be advantaged because I think they certainly lack focus today on how they operate their own businesses.
Operator: Your next question comes from Michael Millman with Soleil Securities.
Michael Millman - Soleil Securities: Thank you. Maybe you can talk a little bit more about the consolidation. What have you assume in your ’08 numbers on airline consolidation? And looking forward to presumably one consolidation beating additional consolidations, how do you see this affecting the business longer term? And I have another question.
Dara Khosrowshahi: Sure, Michael. As far as consolidation goes, most of the deals that we have with our airline partners are longer term deals, so from as far as ’08 -- any ’08 effect on our numbers, we don’t think it’s going to really have any effect. Even if a deal is announced, we think it will take some time to get the regulatory scrutiny, et cetera, and I’d be really surprised if anything would be completed in ’08. So I don’t see anything happening in the near-term. From a long-term perspective, obviously to the extent that the airlines consolidated, we would expect to see even call it further discipline as far as capacity goes and just like any other supply/demand equation, to the extent that you have capacity going down, you will probably have -- you will probably have ticket prices going up. In general for us, the more capacity there is, the more tickets there are to sell, the better off we are, and the less consumers have to spend on their airfare, the more they have to spend on hotels, et cetera. So I think for now, we’re not taking any account as far as consolidation, as far as when we look at ’08. The real question is what kind of effect is it going to have in ’09, ’10, for example?
Michael Millman - Soleil Securities: Okay, and I guess appropriate to both of us, when the U.S. -- they say when the U.S. catches cold, sniffles, Europe catches cold. I was wondering if you are starting to see any differences in the European market in supply, saying boy, maybe we’d better double up or travel changes -- anything that you can point to that suggests that there may be some economic effect in Europe.
Dara Khosrowshahi: You know, it’s been a real -- we certainly haven’t seen anything definitive as far as our trends in Europe goes. The Europe business remains healthy. You saw the Q4 results. We have pretty aggressive plans for 2008 and I’d say so far, so good. When we look at the -- you know, our partners and what they are saying, it’s a real mixed bag. You had Ryan Air commenting I think a couple of days ago, having a very negative outlook as far as what they saw in booking activity and what their anticipation was for the balance of the year. And you had folks like BA talk about their long haul business being very healthy, short haul business being a little less healthy. And in general, I think you’ve seen our airline partners having high load factors, very, very healthy business, et cetera. We have certainly see the high street retail has been soft and I do think as far as the European economies go, my anticipation would be that we would see the first sign of weakness in the U.K. and for us, the U.K. is the biggest part of our European business and that’s something that we are going to watch pretty closely. Now, I think all of this, when you run through all of this, I do think that our European business in general will be more resistant to weakness if it shows up, just because we’re at the earlier stage of growth as far as the Internet penetration goes and that tailwind, to the extent that there’s economic and macro softness, that tailwind should be able to make up for that more so than, for example, in the U.S. where Internet penetration is pretty high and where our results should mirror overall economic results more closely, so to speak.
Michael Millman - Soleil Securities: So bottom line is that your ’08 projections don’t assume any weakness in Europe?
Dara Khosrowshahi: Our ’08 projections I’d say assume, have a fairly aggressive plan in Europe and so far, we haven’t seen any signs to the contrary.
Michael Millman - Soleil Securities: Thank you and feel better.
Operator: Your next question comes from Doug Anmuth with Lehman Brothers.
Doug Anmuth - Lehman Brothers: Thank you for taking my question. My first question is regarding the airline booking fees and we’ve obviously seen some competitors in the U.S. pull back on booking fees. I’m just wondering if you are seeing any impact there on your airline business. And then secondly, can you talk about some of the benefits of the Trip Advisor applications on Facebook and how you think these are playing out in your numbers? Thank you.
Dara Khosrowshahi: Sure, Doug. As far as the booking fees, no change from what we talked to you about last quarter. You can see that the growth in our air ticket sales has been pretty consistent over the past couple of quarters. Our overall air revenue continues to improve, which we are really, really happy with. Our air revenue per ticket being down 2% and that 2% being due to fee activity I think makes our air business overall a pretty healthy business. I will tell you the greatest sensitivity that we see in air ticket growth relates to air ticket prices, so I am watching much more carefully and kind of much higher in my mind our overall air ticket prices versus the fee activity that Priceline has in place. And we certainly talked about it previously, you know, Hotwire is not charging fees either, neither is their [OPEG] channel. And just because of the diversity of our various businesses, we have exposure to no fee in certain businesses that are higher growth and in Hotwire and in Europe, for example, and then we are charging fees in call it our more mature air markets, Expedia.com in the U.S., for example. So we don’t see any changes in the near-term. We’ll certainly be watching it but really what I’m watching more than anything else are our air ticket prices. As far as Trip Advisor on Facebook goes, we’re really pleased with the reaction of and the uptake of the various Trip Advisor applications on Facebook. There are three applications that we have that are doing quite well. There’s Cities I’ve Visited, there’s the local pics application, and there’s also the Traveler IQ Test, which are all doing incredibly well. At this point, we are treating -- we are really, really focused on just increasing our distribution on Facebook. It is not a profit center. We are spending money on it. We’re in investment mode and it’s not something that we are looking to monetize I’d say in the next year or two. It’s really we think -- it’s an extraordinary audience out there and we just want to get out there far beyond anyone else and we view it as a land grab and I think so far, as far as our transactional or advertising and media competition, we are winning the land grab and that’s our mode right now.
Doug Anmuth - Lehman Brothers: Thank you.
Operator: Your next question comes from Jennifer Watson from Goldman Sachs.
Jennifer Watson - Goldman Sachs: Thank you. Just two questions for you -- first, net revenue rates seemed to decline for the first time year over year when excluding advertising revenue from the past three or four quarters. Can you discuss the primary drivers of this and the trends you see going forward? And then my second question would just be do you think that your growth rates are representative of the industry or do you think that you guys would continue to gain share?
Dara Khosrowshahi: I’ll let Mike take on net revenue and I’ll talk about growth rates.
Michael B. Adler: On net revenue, as we’ve discussed, we’ve seen stabilization with regard to the rates with suppliers really on both the hotel and air side of the business. What is driving the year-on-year decline excluding advertising and media are some of the pricing actions that we’ve taken, in particular more competitive pricing in Europe, which has been extremely successful for us in driving the top line, the reduction or the elimination of the hotels.com change/cancel fee, and the various fee actions that we’ve taken in Europe and to some extent, those parts of the business are also growing faster and so you start to see a little bit of a greater impact from those as the businesses continue to grow.
Dara Khosrowshahi: And as far as the growth rates go, it’s obviously difficult to tell without the full data being out but my guess is that we are gaining share. I certainly think in the domestic markets we are gaining share. To some extent, we are spending to gain share but we are happy that we are seeing returns on those investments. That data that we’ve seen in the European market suggests that the European market is growing at around 25% on a constant, sort of constant currency basis. We’re growing at 35% so that would suggest that we are gaining share in Europe as well, although we do have a very big competitor, bookings.com, that I anticipate is going to be growing faster than us. So I do think overall we’re gaining share but we are certainly not satisfied with where we stand right now.
Jennifer Watson - Goldman Sachs: Great. Thank you.
Operator: Your next question comes from Brian Fitzgerald with Banc of America Securities.
Brian Fitzgerald - Banc of America Securities: Thanks. I just wanted to quickly confirm organic advertising was up 50% year over year, and then I think last quarter, we saw two-thirds of advertising was from Trip Advisor and network and the third was transactional. Any color on how that mix is progressing and any color on traction with the Trip Advisor relaunch?
Michael B. Adler: On the organic advertising question, yes, it was up over 50% this quarter.
Dara Khosrowshahi: And Trip Advisor is around two-thirds, it’s still relatively stable. The TA relaunch has gone very well. We launched it in the U.K. Initially there were some bugs that needed to be debugged, so to speak, and after some of that debugging in the U.K., we rolled out the relaunch on a worldwide basis. What we are seeing is increased activity in areas of the site that we wanted to really highlight. For example, consumers are seeing a lot more, are looking at a lot more of the consumer videos that we have out there, the pictures, et cetera, that we have out there. So we do see increased engagement, so to speak, of the users and certainly the feedback has been very, very positive and we’ve been able to monetize the new site as effectively as the old design, which is obviously very, very important to us. So we’re pretty happy with the redesign and obviously we’re quite optimistic as far as the media and advertising business in general.
Brian Fitzgerald - Banc of America Securities: Great. Thanks, guys.
Operator: Your next question comes from Marianne Wolk from Susquehanna.
Marianne Wolk - Susquehanna: Thank you. You said you saw 35% growth in transactional advertising this quarter. Can you talk about the kind of growth you might expect to see in 2008 and would your guidance reflect a similar growth rate there? And then, two housekeeping questions, first -- wasn’t this the quarter you were going to make a major payment to Microsoft? Did you make that payment? How large was it? And was it included in working capital? And then finally, there’s a lot left in your repurchase authorization. Do you still have the appetite for your shares? I was sort of surprised to see that you had not been in the market this quarter, or even since the quarter’s closed. Thanks.
Dara Khosrowshahi: Sure, Marianne. I’m not going to get into specifics as far as the growth rates for our transactional sites versus non-transactional sites, et cetera. What I would tell you is that we think there is significant opportunity out there. We are designing our sites, the new site design allows us to sell more standard banner sizes, et cetera, for advertisers now than where we were call it a year-and-a-half ago, so we think that’s going to help our sell-throughs. Our travel ads product is young but it’s an entirely new product that we are selling through that we think should provide for growth opportunity essentially from a zero base, and also we are really focused on building our sales force to sell our audience, which is a very call it high, online purchasing audience to non-travel advertisers as well. So we think that’s a real opportunity as well. It’s not going to happen overnight as we build up the sales force but we think it’s a real opportunity. So we’ve seen nice growth on the transactional sites, the 35% that we talked about and we think there’s plenty of opportunity on a go-forward basis. Mike’s going to talk about Microsoft and I think Barry’s going to talk about repurchase.
Michael B. Adler: Okay, the amount of working capital does include the Microsoft payment and it was $30 million -- obviously not recurring.
Barry Diller: On the purchasing of securities, as we’ve said in the past, certainly net buyers of Expedia and -- but this relates also to our cash position and to other needs for cash and in the last period, we’ve had higher priorities than purchasing the stock. In the future, we will continue to be opportunistic and given our balance sheet and what we think the prospects are for acquisitions and other things, you can look to us in the future to continue to be net buyers of the stock. As you know, there is an outstanding -- there’s an amount outstanding -- the number of shares outstanding that’s sufficient for us and we will proceed accordingly.
Dara Khosrowshahi: Marianne, if I could add a little bit of color to that, I think that there are in general three factors that go into the determination for us as to whether we want to buy back stock. One is what we think the underlying value of our company is and what the trends of the business are. Two is your cost of capital. One, the first relates to anticipated return on capital, the second is the cost of capital, and the third is exogenous factors, the economy, et cetera. I’ll tell you on the first factor as far as the business goes, we are much more confident about our business, our ability to project it, our ability to execute, and I think you guys have seen that this business has become a lot more stable, a lot more predictable and I think in general we’re executing better than we ever have and I’d say our confidence in the first factor is higher than it ever has been and certainly continues to be as high as it was in 2007 when we made the significant repurchases. Now, number two as far as cost of capital and availability of capital, that has swung, as you know, very significantly to the negative and the ability for companies to secure long-term capital, and I do think that we would want so secure long-term capital at reasonable rates, has gotten very, very difficult. Hopefully the fed rate activity, et cetera will solve that but we certainly haven’t seen the debt markets open up, et cetera. So we do think the cost of capital and the availability of capital for us has decreased significantly. If that changes, that would absolutely be a positive factor for buy-backs. And then of course the third factor is exogenous factors, et cetera. We’ve talked a lot about how we see the economy affecting us but there is a high degree of uncertainty going forward, so we are going to be careful about how we deploy capital. So I do think that we are going to be balanced about it but I would not take -- call it the lack of short-term buy-backs that you see as a sign of any kind of under-confidence in the business, because it’s not.
Marianne Wolk - Susquehanna: Thank you.
Operator: Your next question comes from Aaron Kessler from Piper Jaffray.
Aaron Kessler - Piper Jaffray: A couple of questions; first, in our recent hotel survey we conducted, we put out a couple of days ago on the European hotels, indicated some concerns over the pricing and commission rates, as well as the fixed room allotments from Expedia Europe. And I know you’ve talked in the past about how your premium offering warrants a higher commission rate versus your competitors. But at what point would you consider a lower commission rate to gain hotel market share as opposed to just gaining consumer market share? And one follow-up question.
Dara Khosrowshahi: Sure. You know, listen, we are going to keep an open mind as to what we do in Europe. We are constantly going out to hotels, talking to them, et cetera. And the feedback that we have gotten from our hotels is of course they would like lower commissions but in general, they understand that the offline spending that we spend on, the kind of travelers that we bring though, it’s a different profile from the European competition and that to some extent, our higher commissions are warranted. They don’t have to pay credit card fees. They don’t have to take fraud risk, et cetera. So the commission rates in reality are a lot close than they seem. Where we think we have a lot of improvement to do or a lot of improvement to make is the way that we work with those hotels, the systems, our Internet site, et cetera and that’s really where we’re focused in 2008. There’s an enormous investment going in to allow us to work with those hotels on a smoother basis and to be more open, et cetera. I would say too that we are making a real investment as far as increasing the number of market managers that we have in those markets, not only to increase the number of hotels that we have, especially in secondary and tertiary markets, but also to make sure that we are responsive to the individual hotelier’s needs, et cetera. So we certainly think we have our work cut out for us but right now we don’t think commissions are a problem. We think that there’s a lot that we could be doing better, sort of on the ground, so to speak.
Aaron Kessler - Piper Jaffray: And just one follow-up question, I don’t know if you can give us this, but for Ryan Air and for other private label deals, can you give us a sense of approximately how much they contribute to the international growth? And then, when does the Ryan Air deal anniversary?
Dara Khosrowshahi: Ryan Air is still a pretty modest proportion of our Europe gross bookings. It’s I think less than 5%, significantly less than 5% of our European bookings. But Ryan Air, it anniversaries I think starting in Q2. Is that right?
Michael B. Adler: It’s either late Q1 or early Q2.
Aaron Kessler - Piper Jaffray: Thank you.
Operator: Your next question comes from Justin Post from Merrill Lynch.
Justin Post - Merrill Lynch: Thanks for taking my call. I guess the first question, and we’ll get back to the gross profit growth, but you guided to low double-digit OIBDA growth with some marketing and tech expense pressure. Can we assume that the revenue growth rate is higher? And then getting back to cost of sales, where are you on the cost of sales front? Can you still get that margin higher going forward?
Michael B. Adler: In terms of the revenue growth rate, we don’t give particulars to that. We have grown substantially in ’07 on the top line and do think that there is substantial runway in front of us and in ’08, we think that there’s a modest gross margin expansion opportunity. We had significant expansion in ’07. A lot of that was driven from some fairly large actions we took on the cost efficiency side. We still continue to look and see further opportunities, probably not as impactful in ’08 as in ’07. In terms of the mix of the business, that can also dramatically impact where the gross margin goes, so to the extent that the advertising business continues to grow faster than our transactional business, that that is a tailwind as well.
Justin Post - Merrill Lynch: Okay, and then I think you said 80% growth for hotels.com in Europe. Was that an acceleration versus last quarter and how do you -- I guess you’re not going to tell us how you see that going forward but do you really think that the sustainability of that growth rate can continue? And is any of that Europe related -- I mean, sorry, Asia related?
Michael B. Adler: Those figures are European point of sale only and the 80% is an acceleration from earlier quarters in the year. We continue to expand geographies. We will continue to add more and more hotels and push on this as hard as we can. This is our pure play hotel business in Europe and as we know, the market is growing very quickly. As to whether or not we can keep up rates like that, at some point math takes over but we do expect considerable growth again next year.
Dara Khosrowshahi: And Justin, we’re investing pretty aggressively in hotels.com and the consumer experience. A couple of things that we’re doing going into ’08 is we have eliminated change/cancel fees for hotels.com in Europe as well, and you’ll remember that we did it for hotels.com in the U.S. We’ve done that in Europe which we think puts us in a more even stead against bookings.com, which doesn’t have change/cancel fees as well. So we are going to see how the consumer reacts to that. We are also for the first time also investing in branding, in offline branding in the hotels.com brand. We’ve done it in the U.K. We’ve done it in some of the Scandinavian countries and we’ve seen really, really good response to that as well. So it’s a growth rate that we are happy with and we are investing appropriately and aggressively behind that brand, which we think has very significant potential in the European markets.
Michael B. Adler: And then I would remind folks that the growth rate we gave is in dollars and that we’ve said that we don’t think that we’ll get as much FX benefit in ’08 as in ’07.
Justin Post - Merrill Lynch: Okay, and last question, I know you’ve already addressed buy-backs a bit, but the cash flow generation of this business is one of the real good attributes. You probably have an incremental $800 million of cash as we get towards the middle of the year. Do you have a plan for that or are you just going to see how market conditions and acquisition opportunities are at that point?
Dara Khosrowshahi: Justin, we’re going to be -- I think in this kind of a marketplace, we do want to be fairly flexible as far as what we do and how we do it. We don’t want to be in a position as you see in a lot of these financial companies, of calling it overstressing your balance sheet and then having to go hunt for capital at very difficult rates. We are just not going to let that happen to our company and we’ve seen it happen to unbelievably strong companies out there -- you know, Citibank, et cetera -- and it’s just not -- it’s not a risk that we’ll take. Barry has been very clear about that. The board has been very clear about that. So we think in this kind of an environment, we are going to be more conservative than aggressive and we’ll react accordingly and when and if in the short-term we do buy-back activity, we’ll report it to you.
Justin Post - Merrill Lynch: Great. Congratulations on turning around the market share from ’06. Thanks a lot.
Operator: We have time for one more question. Our last question comes from Mark Mahaney from Citigroup.
Mark Mahaney - Citigroup: Thank you. You mentioned domestic hotel inventory to some extent freeing up in the wake of declining occupancy rates. Is there any way you can quantify that? Or maybe the buying rate, one of the challenges you’ve had in the past is not being able to perhaps fulfill demand. Those I think you in the past had referred to those Las Vegas roundtrip vacation packages, that you just couldn’t hit those bids. Now you may be better able to. Can you quantify that? And then just on the platform synergies, the platform investment efforts, it seems like you’ve had a challenge with this to date. Are we starting from scratch? Are you starting from scratch on this? What’s the level of confidence that you can develop and generate the kind of synergies off of platform improvements that seem to have been elusive so far? Thank you.
Dara Khosrowshahi: As far as quantifying the inventory situation, I’d say that the one piece of quantification that we can make is that we do go out with our various hotels and negotiated exclusive deals or exclusive offers, you know, special 20% off if you book three or four days, book four days, get one night free, et cetera. And when we track the number or the percentage of sales that come from those “special deals”, in January versus last year, the percentage of sales that we’re getting on those specials are up significantly in certain markets. For example, in New York, I saw a statistic that we were going to [inaudible] almost over 50% of our sales in New York City, I think it was for January, were based on special promotions that we put forward. Now, that’s a function of our being able to secure special promotions much more effectively from our supply partners and it also could be a function of the consumer looking and hunting out those special deals as well, which could be a factor in the ADR numbers that we talked to you about at the beginning of the call. So we are seeing good inventory out there and there is some quantification of that. Obviously we’ll be watching it very, very closely as far as how the year progresses on that basis. As far as the platform goes, no, we’re not starting from scratch at all. We are -- the next six months for us are going to be very, very active as far as releases, et cetera, as it relates to the new platform. It has just been a delay of I’d say three to six months and I’d say the next six months are going to be really, really important for us and we’ve got our technology teams and IT teams very, very focused on delivery of elements of the new platforms. The rollout is going to be staged. It will be different parts of the site coming out at different times and we hope to see kind of staged improvements as the year progresses. Because it is staged, again we don’t believe that you’ll kind of see big, big material improvements in the near-term. And any time that you release a new platform, you have all sorts of debugging that you have to do in the early days, so if anything in the early days, it probably hurts you more than it helps you as you debug various parts of it. So it’s on track. It’s just later than we wanted to and we are certainly not starting from scratch.
Mark Mahaney - Citigroup: Thank you, Dara.
Operator: Thank you, Management. I will turn the conference back to you for any closing remarks.
Stu Haas: Thank you for joining us on the call today and for your questions. A replay will be available on the IR website shortly after the completion of this call. We appreciate your interest in Expedia Inc. and look forward to speaking with you again next quarter.
Dara Khosrowshahi: Thank you very much for bearing with my frog voice. I apologize for that. We look forward to talking to you next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes the Expedia Inc. fourth quarter 2007 conference call. You may now disconnect and thank you for using ACT Teleconferencing.